Jacob Edler: Good morning, and welcome to Embracer's Q4 Report Presentation. My name is Jacob Edler. I'm an equity research analyst with Danske Bank in Stockholm, and I'll be moderating this Q4 presentation here today. We will start with a handful of presentations from Embracer's management team, including some reflections on the recently finalized restructuring program and some comments on the spin-off events that are yet to happen, so to speak. And I think, with that word, I'll leave the stage to you, Lars. Thank you.
Lars Wingefors: Thank you, Jacob, and hello, and warm welcome to this Q4 presentation in Stockholm. Let's dive straight into the business highlights for the fourth quarter. So net sales came in close to SEK9 billion, which is a 5% decline year-over-year, mainly impacted by a weaker revenue within entertainment and services compared to last year. Looking at the profitability, I'm glad to see that we are making more money, 56% in adjusted EBIT growth to SEK1.4 billion in the quarter, driven by an excellent performance within Mobile, solid performance within Tabletop and in line expectations within PC/Console. Worth noting this is despite a significant negative contribution from the divested companies to adjusted EBIT. Looking at the free cash flow, came in at SEK500 million, which is a significant improvement over a flat cash flow last year despite, again, negative impacts from divested assets of SEK500 million EBITDA minus investments. Looking at the year -- full year, we have a double-digit growth, both in sales and adjusted EBIT to SEK42 billion and adjusted EBIT just over SEK7 billion in the year. Worth noting that the pro forma sales, excluding Saber and Gearbox were SEK40 billion, with a higher adjusted EBIT of SEK7.3 billion and EBITDA minus CapEx of SEK6 billion, or EBITDAC of SEK6.3 billion. The full year cash flow were SEK1.5 billion despite a negative SEK2.2 billion EBITDAC contribution from the divested assets. End of March, we had our annual or the year end, and we're doing impairments. And this morning, we reported a significant amount that I'm very respectful of, SEK20 billion impacting our reported EBIT in Q4, and it's important for all shareholders to understand what that is. SEK11.4 billion is relating to the divestments of Saber and Gearbox. SEK1 billion is relating to the finalized -- now finalized restructuring program in the fourth quarter. And then, we have an annual impairment of all our goodwill across the group. And this year, we have decided to -- and which also resulted in a SEK6.7 billion impairment of as Moody, which equates to around 20% of the SEK34.4 billion that we paid in consideration 2021. The actual cash effect of all this is SEK265 million. We are now looking ahead to a solid year. This year ending March '25, we are expecting a similar performance compared to the actual adjusted EBIT reported last year, but with the material -- and most important, with the materially improved free cash flow and EBITDAC in the course of the year. Within PC/Console, we have two titles, I would say. One of them, Kingdom Come: Deliverance II is a very important game for us this year; and Killing Floor 3, and you can compare them to Dead Island and Remnant that we had last year. I'm personally excited of all our games, but Kingdom Come: Deliverance II, I think, will be a hell of a game and done by one of the absolute best teams in Europe, and I think it will excites a lot of players. And obviously, having such a game with the own IP, own studio and our own distribution, partly to consumers, you're able to capture a lot of that value creation. So if you sell another million, or a few million units, obviously, it has a swing factor in the year. I believe considering that we still have a reasonable expectations on that and other titles in the year. In total, we expect to release more than 70 projects in the course of the year, including three important unannounced items for the year, not to the scale of Kingdom Come, but important. We are expecting to complete games of around SEK3.9 billion in the year, that's our expectations today. Last year, we completed of SEK3.4 billion -- I'm looking at Johan, SEK4 billion, which approximately 10% only in Q1, 20% in Q2, 55% in Q3 and the balance obviously in Q4, that's our current estimation today. But beyond this year, we see growth in the business driven by a good number of very sizable PC console projects based on both established and new IPs. Our resources within PC/Console are increasingly focused towards our owned and controlled IPs, such as Darksiders, Dead Island, Deep Rock Galactic, Kingdom Come: Deliverance, Killing Floor, obviously, The Lord of the Rings, Metro, Remnant, Satisfactory, Tomb Raider, Wreckfest and many, many others. Looking in Q1, ending now in June, we see a broadly stable adjusted EBIT for mobile and tabletop, but a limited adjusted EBIT contribution for both entertainment and services, and PC/Console due to the timing of new product releases. Also worth highlighting that we finally completed our restructuring program end of March. It's been a rough year for us, and I'm glad that we now are post that. And we are expecting a notable delevering of our balance sheet in the course of the year, driven obviously by the considerations from the two recently announced divestments, but also the stronger free cash flow generation. We were able to reach a CapEx run rate of around SEK4.3 billion as of Q4, which I think is a notable achievement comparing when we started of SEK7.9 billion a year ago. Over the past year, we have made significant process shaping the future of the group. We have improved the balance between growth and cash flow generation. The divestments of parts of Saber and Gearbox will improve profit margins and cash flow conversion, reduce financial leverage, while subsequent decisions to initiate a separation of the group into three publicly listed companies sets a clear strategic direction into the future. And I'm encouraged to see that all shareholders, or most shareholders, all I've spoken to, share our view of that transformation process. And so far, it's all good, and process are tracking according to plan. Ultimately, this will create value for all stakeholders, but importantly, it would improve the conditions for our entrepreneurs and employees to create more and better products ultimately, that's the reason we're doing it. Also finally, in the highlights, or I don't know if this is a highlight, but I was sad to -- in a way, but also glad that Johan came to me a few weeks ago, start talking about that for private reason he needed to change his role, and we agreed that you will remain until the end of March. You have been absolutely essential to the built up of Embracer and you're a really good leader and a human, and I'm really thankful for that. And you are welcome back any day, Johan, but we still have a year almost. But being a public company CFO is kind of running a -- driving a Formula One race, and I have all the respect of that decision. But really glad also to have Muge already on Board that could actually take on this duty from September 1. So you will see both me and Johan here in Stockholm in August. Also, glad that Phil Rogers accepted to take on the duty of a Deputy CEO on June 1, who is currently leading the group of Middle-earth & Friends and CEO of Crystal Dynamics and a very experienced leader within the industry. Right, a bit more details, PC/Console mixed performance in the quarter. We had a number of highlights. Really glad to see a strong performance for some smaller budget titles, but very important to the group, such as the Remastered of Tomb Raider published by Aspyr. I'm really glad to see that we own the IP. Aspyr done the work and the development together with Saber and publishing it. And then now we are able to physically release it exclusively to consumers by our company, Limited Run Games. So we kind of have the whole value chain there, capturing the full margins, which were a notable contribution in the quarter. We also had other titles exceeding our expectations, such as Deep Rock Galactic from our amazing teams in Denmark, performing very well. Aspyr also had Star Wars: Battlefront contributing financially in the quarter. We also had a number of mid-sized titles from THQ Nordic not reaching their full potential, unfortunately. And it was part of the weaker performance on the margins within PC/Console. Overall, we had a minus 13% organic, about 3% growth on pro forma in the quarter. We see a stable back catalog performance of SEK1.6 billion. And here, to the right, you could see the top 10 titles. Dead Island 2 continues to perform. We had a last quarter of SnowRunner, then we have Star Trek, Remnant II, that we continue to invest into, Arizona Sunshine 2, Risk of Rain 2. Hot Wheels Unleashed continues to perform. Deep Rock Galactic, obviously, Neverwinter Nights, and finally, from Gothenburg, the Bloxburg team at Roblox. The ROI chart has many dots now. This quarter is a mixed performance again. Glad to see three titles above 4 times return of investment. Remember, this sample includes projects with sales above SEK40 million, or investments above SEK40 million, which is currently 98 projects or dots on this slide. The average are still stable at the level that I would like to see increasing in the future, and I'm confident it will increase in the future, but still at 2.2 in average, and it will increase on the long-term. Obviously, now there's a SEK26 billion of net sales in this formula. So it will take some time to have the math to improve, but our updated capital allocation process focusing on what we believe the most in will improve the return on investments over time. I'm confident in that. Here's a slide showing that we continue to invest more into the future than we are completing. In the quarter, we completed games of SEK700 million, but we invested SEK1.4 billion. That gap will be smaller going forward, but still we would see growth investments. As of March 31, we had SEK6 billion of capitalized gains on the balance sheet. So solid pipeline of new games for this current financial year, 70 projects. I already talked about Kingdom Come II, Killing Floor 3, but there is more important titles of the year, Epic Mickey: Rebrushed, Hyper Light Breaker, the Gothic Remake, Titan Quest 2 alongside many, many other projects. We will also continue to invest into our live and kicking games such as Remnant, Goat Simulator, Satisfactory, Deep Rock, Dead Island, Valheim, Star Trek, Neverwinter Nights and many others. Moving to mobile, which had a very strong profitability in the quarter, reaching 38% or SEK514 million, which is over 50% increase year-over-year. Driven by a number of factors, but one of those factors is obviously the transition that CrazyLabs has been doing from hyper casual, which is a low margin business, but high revenue to a hybrid casual where gamers engaged longer within the games and it's monetized differently -- partly differently. We also see lower user acquisition costs coming in this quarter at SEK478 million or 35% of revenues. We still have 29 million players daily playing our mobile games, or 229 million players on a monthly basis. Easybrain continues to shine and performed strongly with a high-single digit organic growth in the quarter. Tabletop had a solid adjusted EBIT performance, growing more than 50% year-over-year to SEK380 million. It's a notably improved margin mix driven by more owned or published projects -- products. The free cash flow generation within Asmodee are excellent, and it was actually more than 100% of the adjusted EBIT in the full year. The new trading card game, Star Wars: Unlimited, shined in the quarter, exceeding our expectations and has been selling out all across the world. We're now working with the teams to set the future of that, and they have a very solid plan with a number of new sets reaching the market. But it's important now for all digital gaming shareholders to understand, it's a bit different dynamics of trading card games. This is not a short cash grab to just print things and then leave the consumers. You are building an ecosystem together with your players over a long time. So this will be an important product for us, obviously, this year, but also in the coming years. This is a recurring business, if you manage that well to please that ecosystem with players. And so far, they are out to a really strong start, and I'm glad to see that. We also, in the quarter, worth noting that we had a bit shift of releases within distributed products, and that was partly a reason for a small decline in organic growth in the fourth quarter. Entertainment & Services came in at SEK1.2 billion or SEK48 million in profitability, which is 18% organic growth. Obviously, this business segment has a big swing factor in new product releases. Also, there is a great swing factor in profitability coming out from Middle-earth Enterprises, depending on how much royalties they have coming in. And obviously, it's been swinging over the quarters because of, for example, the relationship with Hasbro that has been very successful earlier in the year. Happy to see that Dark Horse has transformed back into profitability and growth again and had some solid new releases in the quarter. What I'm most excited about in this segment is obviously the future and -- the future of Middle-earth and what we announced together with Warner a few weeks ago. I think that is one very important piece in the whole journey of Middle-earth over the coming decade. It would benefit fans and shareholders over the long term, enormously. Yes, we will have royalties coming in from the movies, but most importantly, it will widen the overall interest in Middle-earth and that whole world, and we could also create more gaming products based on that interest. And the same thing goes with Tomb Raider. The relationship with Amazon becomes stronger and stronger, and we're not only having the biggest game being developed together with Amazon. Now we have a relationship on film and streaming Tomb Raider in the future, also announced a week ago, or a few weeks ago. Very important for that franchise. And finally, looking on the market. We see a stable market development 2023, with a flattish year-over-year. But ahead, we see a 3% expected growth this year, driven primarily by PC and mobile. Looking on the long-term, we see a roughly 5% compounded annual growth rate up until 2026. So with that said, I would leave over to Johan for financial comments. Welcome, Johan.
Johan Ekstrom: Thank you very much, Lars, and thank you for the kind words earlier. Let us take a look at an overview of our financial development. So sales are SEK0.5 billion lower than last year, but adjusted EBIT is SEK0.5 billion higher, thanks to improved profitability. Full year sales amounted to SEK42 billion for the year with an adjusted EBIT of close to SEK7.1 billion or 17%. The sequential increased gross margin in the quarter is in line with our expectations with the product mix more geared towards PC/Console and favorable development within Tabletop segment. We also note that marketing expenses in relation to net sales amount to 7%. Marketing expenses outside of mobile are lower compared to previous quarters and mainly due to fewer larger leases in the quarter. And within mobile, we note that user acquisition costs are lower in the period, which is in line with the increased focus on profitability in the segment. Operating expenses continue the decreasing trend as effects from the restructuring program continue to be realized. In the quarter, operating expenses amounted to SEK2.4 billion, which is a reduction of 11% compared to the same period last year. Adjusted EBIT increased to SEK1.4 billion in the quarter, setting a new all-time high on a yearly basis at close to SEK7.1 billion. We thought it would be beneficial to highlight and explain the bridge between adjusted EBIT and reported EBIT for the quarter. And as you can see, reported EBIT was negative in the quarter SEK20.4 billion and adjusted EBIT amounted to SEK1.4 billion. The difference of SEK21.8 billion comprises of two part. SEK1.5 billion is related to specific items for historical acquisitions and the remaining part, SEK20.3 billion is related to items affecting comparability. It's worth noting that SEK21.5 billion are items not affecting cash flow and only SEK0.3 billion is affecting cash flow. Specific items related to historical acquisitions are acquisition-related expenses, such as expensed earnouts, as well as planned amortizations for acquired surplus values. If you look at items affecting comparability, we have four projects or initiatives. SEK1.2 billion relates to our restructuring program. And it is important to note that the write-offs of game development are considered items affecting comparability only when they are related to projects affected by the ongoing restructuring program, where the studio or team has been discontinued. SEK8.6 billion are related to the previously announced divestments of Saber and Gearbox and the remaining SEK10.4 billion is an effect of our annual impairment process, where SEK2.9 billion is a direct consequence of the divestment of Saber, due to changed composition of cash generating units, as well as internal transfers of business agreements. SEK6.7 billion relates to Asmodee, and is mainly caused by higher interest rates as well as a more prudent view on future expectations. It is also worth noting that revaluations of earnouts have been recorded in different reporting periods since the closing of each transaction up until the end of March 2024. The revaluations are part of the financial net and mitigate the effect of the goodwill impairments. For the remaining assets within Saber, the revaluations amount to SEK1.6 billion on an accumulated basis and for Asmodee plus SEK2.2 billion. For Asmodee, the impairment corresponds to approximately 20% of total consideration by closing date, valued at the exchange rate as per the end of March, or 13%, if you consider the positive mitigating effect from the revalued earnouts. If you look at the cash flow for the quarter, free cash flow amounted to approximately SEK0.5 billion, growing with SEK0.5 billion over last year. It's worth noting that this is despite a negative SEK0.5 billion EBITDAC contribution from divested entities. And we continue to see positive effects from the restructuring program in our cash flow, both on operating expenses as well as reduced capital expenditures. Cash flow from financing activities in the quarter are impacted negatively by less utilization of credit facilities in PLAION. Net investments in acquired companies in the quarter relates to payments made, four historical acquisitions. And the cash effect of items affecting comparability relates to cash payments made under the restructuring program. Looking at the full year cash flow generation, we note that free cash flow increases with SEK1.5 billion over last year, driven by improved EBITDA as well as reduced working capital. At the end of March, net debt amounted to SEK16.4 billion and available funds amounted to SEK5.3 billion. It is worth noting that the net debt does not include the interest-bearing receivable we have towards the buyers of Saber Interactive, which amounts to SEK2.1 billion. In April, we signed or secured a financing agreement at the Asmodee level. The financing amounted to approximately SEK10.5 billion or EUR900 million with a maturity of up to 18 months. The loan is secured by Asmodee assets and ring-fenced. The loan was used to refinance our bank loan of SEK8 billion with maturity in February 2025, and to further reduce our revolving credit facility with SEK1 billion to SEK8 billion and our existing revolving credit facility matures in May next year. We have agreements on covenants in our credit agreements. The terms for these are 2.5 times net debt in relation to adjusted EBITDA calculated according to the loan agreements. And by the end of the quarter, we have substantial headroom for these covenants. Here, we have some pro forma financials. This pro forma financials show Embracer's performance, excluding the divested assets related to Saber and Gearbox for fiscal year '22-'23 and '23-'24. And they are also split by the three new entities following the announced separation, Asmodee and Coffee Stain & Friends, Middle-earth & Friends. As Lars mentioned earlier, we see a slightly higher profitability in the year at SEK7.3 billion at the adjusted EBIT level. But more importantly, we see a higher cash flow generation on a pro forma basis, where EBITDAC would be for our SEK2.2 billion higher for the full year on a pro forma basis. If we look on the liability side, there are three important areas. Net debt earn-out obligations to be settled in cash and also the number of shares. As we saw earlier, net debt amounted to approximately SEK16 billion by the end of March. If we include an estimated contribution from divested assets, net debt would have been SEK11 billion, approximately SEK11 billion, whereof SEK9 billion relates to the ring-fenced structure of Asmodee. Earnout obligations to be settled in cash amount to SEK5.4 billion at the end of March. Considering accelerated and collapsed earnouts following divestments and agreements, this amounts to SEK4.1 billion on a pro forma basis. The estimated number of shares to be issued to settle earnout obligations was 67 million by the end of March. Considering accelerated and collapsed earnouts following divestments and agreements, this amounts to 26 million on a pro forma basis. And by the end of March, we had 1,339 million shares outstanding. And if you add the 26 million shares, the number of shares after expected dilution on a pro forma basis is 1,365 million shares. That being said, let us take a closer look at the restructuring program and the summary thereof. And we would like to...
Lars Wingefors: Welcome, Muge.
Johan Ekstrom: Our future CFO on stage, currently Deputy CFO. Welcome.
Lars Wingefors: Welcome, Muge.
Muge Bouillon: Thank you, Lars. Thank you, Johan. Good morning, everyone. It's great to be here today. At the outset of the restructuring program, we stated our intention for it to run up until the end of the financial year. And we can confirm that the program is now finalized by March 31 this year. Before we speak about the future, which I'll do in a few minutes, I'd like to take a moment to pause and reflect on the outcomes of this program. As a reminder, the objective was to deliver a set of financial and operational measures to improve efficiency, cash generation, transforming Embracer into a leaner, stronger, more focused group. And concretely, this objective was translated into a set of financial targets, CapEx, OpEx, net debt, as you would recall. On the CapEx side, we targeted annualized pro forma CapEx savings of SEK2.9 billion. The final phase of our CapEx savings was implemented in Q4. Through the collective team effort by our operative groups and also the supervision and support of Embracer, we have delivered a reduction in Q4 annualized pro forma CapEx of SEK3.6 billion, so exceeding our objectives, saving targets by SEK0.7 billion. We are, of course, very happy with that. On the OpEx side, we targeted annual run rate savings of 10% or SEK800 million. Consistent with the updates we've already provided -- we've been providing in the last quarters, the saving initiatives were implemented according to plan. And I'm happy to say that the targeted savings have been achieved by the end of the fiscal year. Throughout the program, of course, we have taken some difficult decisions that have directly impacted a large number of valuable team members. Headcount reductions were primarily weighted to earlier quarters with -- Q4 being just around 1% before the impact of divestments. Including the impact of divestments, the headcount reduction represents 27% throughout the beginning of the program. The last of the three financial targets of the program was on net debt. As anticipated and communicated during Q3 announcement, pro forma net debt, including the impact of expected divestment proceeds amounted to SEK11 billion net debt at the end of the financial year, above the SEK8 billion target. Obviously, in addition to the savings initiatives, by capitalizing on the experience and knowledge of our business leaders across the organization, we have progressed well also on the design and deployment of our capital allocation process. With the finalization of this program, we will continue to improve on the operational efficiency and optimizing our capital allocation. And before we move on, as a final word on this program, I would like to thank all our colleagues for their significant efforts and dedication in delivering this program a success during a demanding year. Looking to the future now, after the quarter we announced the intention to transform Embracer into three separate publicly listed companies. Following the successful completion of our restructuring program, this transformation will enable these entities, the group to unlock value in high-quality assets in Embracer group for the benefit of team members, gamers and shareholders. Each entity will be able to fully use their own balance sheets, have their own set of financial targets, optimal financing structure, capital allocation strategy to enable their growth ambitions. We are confident that there is significant untapped potential to -- that will be unleashed with this new structure, creating value for stakeholders and also improving conditions for the entrepreneurs and employees to create the best possible games. The spin-off process will happen in phases, of course. It is expected that Asmodee will be spun off first before the end of the financial year 31st of March, 2025. Up to that point, Embracer will continue to operate as is. Following the spin-off of Asmodee, Coffee Stain & Friends and Middle-earth & Friends will continue to operate under the banner Embracer. The spin-off of Coffee Stain & Friends is expected to follow in calendar year 2025. The intention of Middle-earth & Friends is to remain within the existing listed company, which will be renamed, of course, at that point. There are, of course, a number of milestones ahead of us in the process in terms of regulatory requirements as listed companies, such as due diligences, the stock exchange audit, prospectus. So it's a total diligent process and we are taking a structured project approach. And we'd like to, of course, leverage on the recent experience with Embracer's change of listing venue. And one of the key priorities for the management and the Board will be to find the right competencies for each of these executive new management teams based on their different needs. And all these three companies have very bright features. So we look ahead with optimism and really we consider this as the beginning of a new exciting chapter. Thank you. Lars, over to you.
Lars Wingefors: Thank you, Muge. And I believe that concludes the presentation for today. So Jacob, time for some Q&A.
Q - Jacob Edler: All right. Great. We're back with the Q&A now. So I'll start with a few questions of my own. Then I'll ask for any questions here in the live audience before proceeding to the telephone conference and also webcast questions. So Lars, starting off a bit on a reflection note, so to speak. Pretty much one year ago on this day you received the negative outcome from the potential partnership deal. It was a tough day. And I remember you were asked by another analyst, how you felt on that day. You were relatively beaten down, you'd had a rough night. Now one year later, a lot has happened. How are you feeling on a day like today?
Lars Wingefors: Well, I feel much better today than a year ago for sure. No, it was horrible, getting that message from the business partner the night before, working all night and then facing obviously the situation. It was very difficult, and it's been a rough year.
Jacob Edler: Yeah.
Lars Wingefors: But, in the end of the day, it's rough here not only for me, but also for a lot of my team members, and I have a lot of respect for the hard work we all put into to come where we are today. And now we are much more excited about the future. And obviously, I'm much more positive. I think we've made a tremendous change since last year.
Jacob Edler: And then I have to move on to also some management changes today, obviously, with Johan leaving, but also Muge coming online instead, and then also Phil Rogers taking the role of Middle-earth Enterprises & Friends. Maybe starting a bit with you, Johan. What has been your highlights here with Embracer during these, I think, five years, and maybe the reasons for the decision?
Johan Ekström: Yes, I think I'm not ready to select any of the highlights. It's been so many over the course of the five years that we've been -- have been fortunate enough to be part of this journey, and I'm also very glad that we have a smooth transition over time. So I will have some time to figure out and choose a couple of highlights. But I mean, it's a personal decision, a very difficult one because I like it very much working with Embracer and the whole team, but also want to prioritize time a bit differently from 1st of April.
Jacob Edler: And over to you, Lars. Obviously, Phil Rogers will take on the role there at Middle-earth Enterprises & Friends, which -- what will you be doing, so to speak?
Lars Wingefors: Well, he takes now officially on the role as Deputy CEO, that's what communicated today. I'm long-term. I'm here, I'm in the room. I'm a significant shareholder. But the specific management structures of the three entities, we need to come back to in due time, but there is no change communicated. I remain the Group CEO of Embracer Group.
Jacob Edler: Okay. So hopping into some maybe specific questions on the Q4 report today. You stated that you expected the value of completed games in fiscal '24-'25 to be SEK3.9 billion currently as of today, which is above the SEK3.4 billion of last year. But it's relatively back end loaded. You have 70% in Q3 and Q4, and how do you foresee eventual pipeline shifts and that there could be some risk that, that figure could be a bit lower?
Lars Wingefors: Of that number, 55% is in Q3 and 15% in Q4. So I think we have some margin for potential delays. Obviously, when you say you have 70 projects today, that the number of them will be delayed. But you will also have a few coming in, in the Publishing segment. But in general, yes, there will be some delays. However, I feel confident that my teams will be able to ship the most important title of Kingdom Come: Deliverance II within the year and also Killing Floor 3. So I think that gives me confidence talking highly about them. So I think it's a good season to release games in Q3 and Q4. So I think winter time in the west. So...
Jacob Edler: Sounds good. And I just have to ask, you mentioned that you had three unannounced but still relatively significant titles out of these 70, right, in the pipeline. What kind of size are we looking at there? Is it AA?
Lars Wingefors: Yes. It's AA-ish. For short titles, you recognize -- we will be recognizing...
Jacob Edler: And Muge was talking about the run rate now in CapEx on a pro forma basis SEK4.3 billion, which is obviously below the SEK4.9 billion, if we weren't to exclude those run rate effects. I just wanted to hear your thoughts and maybe this is to you, Johan or Lars, what do you expect in terms of kind of CapEx growth potentially during this year? Do you have anything to share there?
Johan Ekstrom: Obviously, we haven't given color on that. I think we are not expecting to make any notable acquisitions in the course of the year, adding more CapEx. Obviously, important studios will continue to hire, but there will also be a continued ongoing adjustments to -- across the group. So I'm not expecting a significant change, but it's a competitive market. There is projects in the pipeline that we carefully will monitor the performance obviously, and that could potentially affect things going forward. So I'm -- but in general, I feel highly confident about the current pipeline. I think we made the most significant changes closing a number of projects and teams in the course of last year.
Jacob Edler: Perfect. And then just talking a bit on, I guess, capital allocation, a more broad question. You have during the course of the restructuring program talked about how the capital allocation process for game development is being changed to green lighting models are changing. You're becoming more selective in terms of your pipeline and also may be more selective with regards to working towards third-party publishing projects. Can you maybe just elaborate a bit more and add some flavor on how confident you are in that this will drive an ROI improvement going forward? And what do you think has been the main kind of pitfalls with, I guess, the old capital allocation strategy?
Lars Wingefors: Going back, we set out a very aggressive kind of approach to -- number one priority to build as much organic growth as possible. So we set up a lot of new teams. We obviously acquired a lot. We expanded existing teams and trusting a lot of entrepreneurs and players. But also, back then, it was a different one, capital market, but two, it was also different consumer markets. For example, during COVID, it was a different consumer behavior, how you consume these projects. Now we need to tight this up. And I think we have selected to keep the most important and best projects in the future pipeline. We have taken the painful road to not making this transition easy, selling off our best games or teams or assets. We are keeping them to the future and that gives me confidence that the ROI will improve.
Jacob Edler: Yeah. Last question from my side, aimed at you, Johan. There are a lot of moving parts currently with the divestments of Saber and Gearbox. And can you give any flavor on how we should see the working capital development maybe during the year?
Johan Ekstrom: I think looking at working capital, obviously, it's important to look at seasonal variances throughout the year to factor that in. There are a couple of normal seasonality swings that you can see in our actual numbers for this year on a quarterly basis. Otherwise, I think we shouldn't expect on a full year basis any larger changes to working capital, more driven about when releases occur. So it's a timing effect. But on an annual basis, it should be fairly in line with our revenue growth, but might be different in single quarters depending on seasonality or when games are released.
Jacob Edler: Do we have any questions in the room at this point? Then we proceed to the teleconference. So our first question comes from Nicolas Langlet from BNP. Please go ahead.
Nicolas Langlet: Good morning, everyone. I've got three questions, please. The first one, on the guidance. So just to be clear, are you including any contribution from Gearbox since you have not yet disclosed the asset or you plan to account it as a discontinued activity? Second question on the free cash flow guidance. So in full year '24, free cash flow was SEK1.5 billion, with SEK2.2 billion headwind from the divested assets. So is it fair to assume SEK3.5 billion to SEK4 billion free cash flow in full year '25? And finally, can you help us understand how the recent announcements for the new Lord of the Rings movie and Tomb Raider series will impact the P&L? Are you expecting some upfront payment for those projects or it's going to be mostly royalty payment once the content is released? Thank you.
Jacob Edler: Good morning, Nicolas. The line from Paris is a bit rusty this morning. So we might have a -- need to have a conversation on all those questions. Start, you asked about Gearbox. What were your specific question on Gearbox, Nicolas?
Nicolas Langlet: Just to be sure that you -- if you include or not any contribution from Gearbox before the asset is actually disposed sometime during Q1?
Lars Wingefors: Well, the rules for...
Johan Ekstrom: Yeah. So when we look ahead, there is no contribution from Gearbox in the…
Lars Wingefors: Because of -- they will be reported as...
Johan Ekstrom: Yeah. They will -- they are assets held for sale. And when we look at the expected closing, we don't know exactly when that is. But in terms of EBIT generation for the next year, I would say it's excluded.
Jacob Edler: Okay.
Nicolas Langlet: Got it. Okay.
Jacob Edler: Next question, Nicolas, was?
Nicolas Langlet: On the free cash flow guidance. So you said you expect a material improvement. Now in full year '24 you had SEK1.5 billion free cash flow that it included SEK2.2 billion headwind from the divested assets. So looking at full year '25 is SEK3.5 billion to SEK4 billion free cash flow a fair estimate or not?
Lars Wingefors: Yeah. So obviously, the data points we have given this morning is the SEK1.5 billion in free cash flow and SEK2.2 million negative contribution in EBITDAC. We also said on a pro forma basis, the remaining businesses last year had SEK6.6 billion in EBITDAC, meaning EBITDA minus the CapEx. And then you have working capital. Help me here, Johan, investments...
Johan Ekstrom: Yeah. Working capital, cash tax and the interest expenses.
Lars Wingefors: Exactly. So I need to -- I don't want to put any forecast out to the market this morning, so -- but you are a very intelligent man, Nicolas. So I'm sure you will get that right in the sheets over the course of the year. But I can't -- we can't provide a specific guidance on this, sorry.
Jacob Edler: Okay. And the last question was about Lord of the Rings and how the royalties will be accounted for?
Nicolas Langlet: Yeah.
Lars Wingefors: Yeah. So obviously, this year, we have a fairly significant movie coming from Warner with Lord of the Rings coming up on cinemas all across the world in the end of this calendar year. That would have an impact potentially in this financial year, some impact -- not necessarily on a cash flow basis, but on an EBIT basis. But then more -- perhaps more sizable, the two movies recently announced a few weeks ago, they would obviously have impact -- the first movie in 2026 when that is released. And the agreement that we have with Warner were striking in the '90s with New Line Cinema and it's a beneficial agreement for both parties. So it has some notable potential royalty streams coming to us. And the old movies, as you know, has generated billions of revenues, and we have a fair share of the profits on those. So I'm excited. But we will not see any contribution for that agreement this financial year, no.
Nicolas Langlet: Okay. Perfect. Thank you, Lars.
Lars Wingefors: Thank you.
Jacob Edler: Okay. We move on. Next question comes from Erik Larsson from SEB. Please go ahead.
Erik Larsson: Thank you. I will limit myself to one question and a follow-up that you partly answered, I think, the inventory level in Asmodee specifically, so where are we now? Is Asmodee at the normal level or should we expect more working capital releases?
Lars Wingefors: Well, I -- obviously, inventory is very important for Asmodee to service their customers. But as the financial, you always think they could trim it down a bit, which they have been working on. But Johan, do you have any more specific color if they're on...
Johan Ekstrom: I think we can say that it is at a normalized level now. Obviously, with initiatives being done on continuous improvement and increased efficiency, we expect them to be able to remain as efficient, but not the kind of changes we saw last fiscal year.
Erik Larsson: Okay. That’s all for me. Thank you.
Jacob Edler: Next question comes from Nick Dempsey from Barclays. Please go ahead.
Nick Dempsey: Hi. Yeah. Good morning, guys. So first of all, in mobile, we see peers like Stillfront MTG have been ramping up their user acquisition costs as the market has started to improve for them. So they're sacrificing margins to drive top line. You're going in the opposite direction. That doesn't feel entirely sustainable. So is there going to be a moment where you have to bump back up your user acquisition costs or it's being a permanent declining revenue stream? That's the first question. Second one, within Tabletop games, I have two parts of this question. First of all, you talked about a good contribution from Star Wars being offset by other trading card games. So can you go through the timing issues that you have there in more detail? And is Pokemon now starting to decline after several years of really strong growth? Also, as a follow-up to that, your Q1 guidance for Tabletop of kind of stable progress. You had a very low margin in Q1 last year compared to the rest of the year. So will you always have a very low margin in Q1 or is there some timing effect there? And then the final question, Call of Duty, we've heard is moving to a subscription model, not a unit sales model. Does that cause a hole in your physical distribution business within Entertainment & Services?
Lars Wingefors: Hello, Nick. Happy to have you online. First question, remind me here was the -- it's just too much you might have this morning.
Nick Dempsey: First question was on mobile…
Lars Wingefors: First of all, I would like to say that I've never instructed my mobile management to short-term optimize their EBIT or cash flows to the businesses, not even in the course of this restructuring program. And that's the same message. So there is no change to that message that we need to improve EBIT or cash flow this quarter and then please adjust the business. They do what they believe is the right thing for their business to have a balance between profitability and growth. We see growth in those businesses going forward. However, in Q4, we noted that the user acquisition price per install decreased a lot, that affected profitability in that quarter. That was perhaps not planned, but it's obviously a benefit when they are in the market every day, every second. So I can't compare to other mobile game companies that might have specific, very big, new mobile titles that they are going all in marketing on to build up and then to harvest over a number of years. Our business is very different. We have a very broad set of stable mobile games that are very successful on a daily basis that we're optimizing. It's a different business than other businesses in the industry, partly at least. Second question was, Nick, help me here. Nick, are you still online? No, he's not. Okay.
Nick Dempsey: Sorry, sorry, I was muted. Sorry. Yes, my second question was on Tabletop games, the timing issues related to trading cards and what's going on with Q1 margin?
Lars Wingefors: Yes. So again, we said we see a stable performance in both Tabletop and Mobile in the first quarter compared to last year, perhaps a bit more positive on Tabletop than Mobile, but it's fairly similar. So no drama. Next question?
Nick Dempsey: Well, just -- sorry, just on the Tabletop. I was also asking Star Wars up, something else down in some trading cards. I just want to work out what's going on with Pokemon trading cards inside that trip?
Lars Wingefors: Absolute, no drama. It's obviously a very important product for us. We have no change in that business that we see. So it's -- if there is any changes, there is more timing of releases or shipment of products.
Nick Dempsey: Okay. My last question was about Call of Duty and the impact on the physical distribution.
Lars Wingefors: Yeah. Our Entertainment & Services business are important and the top line, but the largest physical distribution titles for us are -- has also a fairly limited EBIT contribution margin. So if your business partners decides, and I can't confirm that, I'm just saying in general, decides to go online only, yes, it would have some impact on that business. But to be honest, what we have seen on the physical distribution, business is actually much more stable than we have -- that everyone thought in the beginning, and we see a stability in that market. So I'm sure the consumers will find something else to buy from us in the holiday season, if that would happen.
Nick Dempsey: Thank you, Lars.
Lars Wingefors: Thank you.
Jacob Edler: Okay. Moving on. Next question comes from Martin Arnell from DNB Markets. Please go ahead.
Martin Arnell: Good morning, Lars, Johan and Muge.
Lars Wingefors: Good morning.
Martin Arnell: My question -- first question is, what is the key factors like internal and external holding you back from growth this year if you look 12 months ahead, given you're guiding for flattish adjusted EBIT? Thanks.
Lars Wingefors: Well, in general, I don't think it's nothing holding us back, but ultimately, PC/Console, it's partly or very much a business depending on the release schedule. And from that perspective, it's -- we will have years ahead that we have more products coming to the market that will drive growth. So it's as simple as that. A title like Kingdom Come II has been under development for a good number of years. And obviously, even if I wished, I can't add another one into the year because it's a long-term investment to get those products. So that is kind of what's holding us back, and then I'm sure the management teams are, as usual, realistic on Mobile and Tabletop in the forecasting process and so we see a good stability from those businesses. The swing factor is on PC/Console.
Martin Arnell: Okay. Thanks. And if I look at your comments on Q1, it looks like it will be -- the full year EBIT will be back end loaded for the year. If it's fair, should we assume like sequential growth quarter-on-quarter from Q2 and onwards or how should we look at the balance?
Lars Wingefors: Well, we disclosed to help you, Martin. We disclosed the completion of investments of PC/Console, and it's only 10% in the first quarter. So it's the weakest quarter of the year in terms of new releases. We simply doesn't have any significant releases in this quarter, and that is heavily impacting the profitability in that segment in this quarter. Same thing goes with Entertainment & Services. Again, we see 55% of the completion value in the third quarter, October to December and then 15% in Q4. I think that's good color on how we could look of the profitability of the year.
Martin Arnell: Yeah. I agree. That makes sense. And final question, just on the success rate of the main games here like Kingdom Come and Killing Floor. Could you say anything on what kind of success rate you have in that guidance number for the full year?
Lars Wingefors: Well, I gave a bit of color comparing the two titles with the combined effects from Dead Island and Remnant. Obviously, it would not be exactly the same, but Dead Island 2 has been the greatest title so far for the group. And I think Kingdom Come II are up on that level. And I'm quite foolish actually that it could perform even better. I think it will be an amazing game, but still to reach the -- our expectations you need to sell a decent amount of copies, sorry if not providing a specific number of millions, but it would be just too speculative from my side.
Martin Arnell: Yeah. No, that's helpful with the comparison with Dead Island. And just finally, have you talked about dates for the CMD? Do you have stated anything on that? Will it be like two or three CMDs this year or...?
Lars Wingefors: No, we have nothing confirmed at this point, but without confirming or -- my thinking around is that ahead of the separation or spin-off of Asmodee, there will be a Capital Market Day. That's the first one. And then secondly, we will have a Capital Market Day for Coffee Stain & Friends. Would then Middle-earth & Friends RemainCo have something the same day or a different day remains to be seen.
Martin Arnell: Okay. Thank you, guys. That’s all from me.
Lars Wingefors: Thank you, Martin.
Jacob Edler: Okay. Next question comes from Thomas Singlehurst from Citi. Please go ahead.
Thomas Singlehurst: Yeah. Hi. I'm Tom here from Citi Bank. -- for the presentation and for taking questions. A couple if it's okay. The first one, the sale of Shiver, can you quantify that? I know Nintendo said it wasn't meaningful for their business. But just wondering whether there are -- for you guys, whether there is any meaningful cash proceeds expected from that transaction? That was the first one. And then secondly...
Lars Wingefors: Tom, could we take them one by one?
Thomas Singlehurst: Yeah, sure.
Lars Wingefors: My memory is a bit short this morning. So well, I'm really glad that the team of Shiver Entertainment were -- are able to join Nintendo, which is a fantastic company and a business partner to us, and -- we have done a number of divestments in the course of the year, that we have not set a separate press release on that also for business reasons or confidentiality reasons, we can't disclose the purchase price. I'm happy with the purchase price. It will contribute to the cash. Its -- but to the overall balance sheet of Embracer Group, it's not notable or insider information as such, but it's some good money. But most importantly, I'm really glad for the team and for Nintendo. So I think there is three place partners in this transaction.
Thomas Singlehurst: That’s great to hear. And then the second one was just more -- I suppose, more broadly on the debt side. I mean if we go back to that original sort of waterfall chart you did, sort of plotting the path to, what it was originally SEK10 billion, but then SEK8 billion. Could we just unpick where -- what specifically have missed beyond, obviously, the timing of some of those sort of asset sales, which obviously have resulted, but just I'm picking the difference between the SEK11 billion pro forma that you delivered and the SEK8 billion target? And then I suppose the follow-on question is whether we will catch that up this year?
Lars Wingefors: Yeah. I think we talked about that last quarterly -- that we had a target -- a hard target by end of March, and we concluded that we were not able to achieve that. Then later, we were able to announce divestments. But those considerations will come in the course of this year. But I think it's relevant to disclose that pro forma, but what's the net effect as of today, when those considerations will come in and that you saw this morning coming to roughly SEK8 billion as of today. But more importantly, in a way that obviously going forward in the course of this year and the future years, we are expecting to generate a much stronger free cash flow on a daily or on a regular basis. I think that's important. That's how we will drive the business. And that would delever our debt situation further in the course of this year. And ultimately, it remains to be seen how much debt that will remain within the group in the end of the year, if any.
Thomas Singlehurst: Yeah. That's what I was going to ask, is whether you'd hazard a guess at a sort of pro forma target for year end. I know it's going to be difficult with the spin-off. But can you give us a number?
Lars Wingefors: No. Again, we haven't provided a free cash flow target, and it's now becoming a bit complicated because we have the separation or spin-off of Asmodee that would have their own debt and so on. So I think we need to take this step by step and quarter-by-quarter going forward. But yes, we would delever in the course of the year. Remains to be seen how much debt there is in the RemainCo, if any.
Thomas Singlehurst: Okay. Thank you very much.
Unidentified Company Representative: No more questions from the telephone. So over to you, Jacob.
Jacob Edler: Yeah. I think all of the questions on the webcast here have already been answered. And in essence of time, I think we will end it there. So thank you for all the questions from the telco, and thank you for your answers, Lars and Johan. Thank you.
Lars Wingefors: Thank you, Jacob. Thank you, everyone.
Johan Ekstrom: Thank you, Jacob.